Operator: Morning, everyone, and welcome to this Nordic Semiconductor Conference Call covering Fourth Quarter. Today's call is being recorded. For the first part of this call, all participants are in listen-only mode. Afterwards, there will be a question-and-answer session. [Operator Instructions] Speakers, please begin.
Stale Ytterdal: Morning everyone. As Patrick said, we are recording this presentation and will be available on our Nordic website under the IR section. On the IR webpage, you will also find our earnings press release, quarterly report, and the presentation. Joining me today, we have our new CEO, Vegard Wollan; and CFO, Pal Elstad. They will discuss our latest financial results as well as review recent business activity. After the presentation, as Patrick said, we will open up for Q&A. The company will discontinue the chat Q&A function from the webcast. And from now on, we only will be accepting questions asked live through the Q&A dial-in functions. For dial-in details, please look at the earning call invite, which you can find under our IR site and a stock exchange notice. The dial-in details are only applicable if you want to ask questions. As usual, the presentation contains forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those expressed or implied in such statements. We encourage you to review our full Q4 quarterly report and annual report for 2022 for more information on risks and uncertainties that may affect our business. Without further ado, I hand over to our CFO, Pal Elstad.
Pal Elstad: Thank you, Stale. As you know, we have a new CEO in Vegard Wollan, who is also joining us today. As he only started on January 1st this year, I will take you through the main messages and financials for the fourth quarter and 2023, before leaving it to Vegard to present his assessment and our outlook at the end of the presentation. Looking first at the full year 2023, we saw a 30% revenue drop in what has been a cyclical downturn that has been deeper and continued for longer than we have expected. Revenues declined from $777 million in 2022 to $543 million in 2023, meaning that we have operated at a significantly lower revenue than we expected going into 2023. Gross margins came in strong at 52%, which was more in line with our expectations, although down from an exceptionally high level of 56% in 2022 when margins were supported by price changes throughout the value chain. EBITDA was $49 million for the year with EBITDA margin of 9%, which compares to $206 million and a margin of 26% in 2022. Looking at Q4 separately, revenue declined by 43% year-over-year to $108 million and hence, came in slightly below the revenue range we indicated at the Q3 presentation. Gross margin came in at 52%, which was above the 50% we indicated. Operating costs were affected by one-offs that I will get back to in a minute. And overall, we ended up with a negative EBITDA of $7 million for the quarter compared to a positive EBITDA of $39 million same quarter last year. However, we have an EBITDA of minus $2 million, adjusted for restructuring costs related to the downsizing announced at the Q3 2023 quarterly presentation. All cost for this restructuring have been accrued for in Q4 this year. Looking at the different technologies. The main drop comes in Bluetooth, both year-on-year and quarter-on-quarter. At $90 million in the quarter, Bluetooth revenues almost halved from Q4, 2022 and dropped 25% from the previous quarter. This reflects both weaker underlying demand, but also continuing inventory adjustments among cautious distributors and end customers. Proprietary revenues are beginning to stabilize, although at a relatively low level. Cellular IoT revenues were increasing both year-over-year and quarter-over-quarter. Although, we see an increase, they are not at the levels we aspire for. Looking at revenue by markets. You can see that the cyclical downturn and the continued inventory adjustments really have hit all our markets. What started out with a weaker consumer market has spread to the other markets we operate in. Consumer remains by far the largest market with 63% of revenue, up from 60% in Q3 and 57% in Q4 last year. Industrial revenue accounted for $18 million or 17% of revenue in the quarter with revenues having gradually declined throughout the year. It is in the industrial market that we have seen particular high inventory that needs to be depleted. Healthcare accounted for $19 million or 18%, with declining revenue in the second half of the year. Nordic has highlighted the healthcare market as a future growth engine, although revenues are still dependent on a relatively small number of customers and hence prone to wide variations across quarters. If we look at the type of customer, we see that different customer groups have developed very differently. Our largest customers have held up demand reasonably well, showing a marginal revenue decline of 3% from 2022 to 2023. As we have talked about earlier, we have put a lot of resources into developing strong and lasting relationship with these customers. This picture shows that this strategy has been successful and we're glad to see that we're being included on more and more designs with these customers. The reverse side of the medal is the weak development for other Bluetooth customers in the broad market, where we have seen revenue decline by 46% from 2022 to 2023. We have a long history of working with customers in the broad market. And going forward, it is one of our main priorities to regain traction in this segment when the market recovers. We believe our strong competitive position in this broad market is intact. And that will be supported by our sustaining high and steady market share within Bluetooth Low Energy end-product certifications. We had 45% of the Bluetooth Low Energy end-product certifications in the fourth quarter, 2023 and 43% of the design certifications for the full year. We believe it's a remarkable feat to maintain such a share of designs over so many years and that we continue to have more than five times as many designs as number two and number three in this market. We also like to show some customer designs that we've had during the last quarter. We see, as always, a lot of different products across very different types of applications. On the right side, you see an asset tracker from Tavago Tech coming with our Bluetooth and Cellular I/O chips on the same product as well as a Wi-Fi companion chip and our PMIC. This shows that we now have a full solution for our customers. We also see other product examples combining of Bluetooth with other Nordic technologies. Bluetooth Low Energy audio holds great potential. And one interesting product in this respect was the launch from the Danish renowned hearing aid company, GN Group of a Bluetooth Low Energy audio and Auracast broadcasting audio streamer. Moving to gross margin, we saw a quarter-on-quarter improvement from 50.5% last quarter to 52% this quarter, mainly explained by changes in product mix. However, with the lower revenue, the gross profit declined from $68 million last quarter to $56 million in Q4. Going forward, we continue to expect a gross margin of around 50% for Q1, 2024. And we also reiterate our long-term ambition to maintain a gross margin above 50%. This leads us to our operating model performance. We have previously outlined a long-term target model with a long-term gross margin of 50% and with an EBITDA percentage of 25%. This approach has consistently served as a reliable benchmark in previous years. For instance, we exceeded our long-term EBITDA target level for the full year of 2022, driven by high revenue, strong gross margins and high operational leverage. However, for the model to continue working according to plan, we will require a significantly higher revenue run rate than we have today. In the fourth quarter, the combination of a revenue decline and a small gross margin decline, gross profit showed 44% decline compared to last year. The following numbers on the slide have been adjusted for the $5 million restructuring expense we had in Q4. Total R&D declined by $3 million to $41 million in the quarter, but increased from 24% to 38% of sales. So, of course, much higher than the 20% R&D spend we have indicated in our operating model. Similarly, SG&A increased by a marginal $300,000, but increased from 9% to 16% of sales. As a result, EBITDA adjusted for restructuring declined from 20% to a negative margin of 2% and EBITDA loss this quarter. We're now balancing investments and our costs. The total cash operating expenses amounted to $69 million in Q4 when adding back capitalized development expenses and deducting depreciation and equity-based compensation. This compares to $61 million in Q4, 2022 and $58 million last quarter. The total number of Nordic employees was 1,493 at the end of 2023, an increase of 3% during the year, but it was a decrease of 2% from the end of the third quarter. First time for a long time, Nordic has actually reduced the number of employees. During Q4, Nordic implemented restructuring measures, reducing the number of employees by around 100 people. The full impact of this will be reflected from Q1, 2024 due to varying termination periods in different countries. $44 million relates to payroll expenses, which is up $2 million compared to last year. $5 million of this is restructuring expenses. That has been offset by positive FX and reversal of variable pay in the period. Other OpEx is high at $25 million this year, up from $19 million a year ago. The increase versus last year is mainly driven by higher expenses in connection with the release of two new products, including two major tape-outs done during Q4. Vegard will talk more about these new products later. We also have expenses related to the acquisition that we completed during Q4. Also important to highlight the reported OpEx was $63 million in Q4, which included the $5 million restructuring expense. That was partly offset by the reversal of variable pay accruals. So, underlying OpEx was approximately $62 million in the quarter. Cost optimization measures implemented in Q4 will isolate it reduce quarterly operating expenses by approximately $5 million as we commented at the Q3 presentation. Our expenses vary across the quarters, but taking the Q4 underlying OpEx as a starting point and looking into Q1, we expect to see cost improvements neutralizing the effect of higher costs related to commercialization of new products and inflation, but the FX changes will potentially increase expenses in Q1. High OpEx of $13.2 million in Q4, of which $8.5 million reflects the successful Atlazo IP acquisition that was completed during Q4. Atlazo has been recognized as a leader in AI machine learning processors for compact edge devices and the team and IP complement Nordic's strength and support its strategic focus on IoT development. Adjusted for acquisition, CapEx was $4.7 million, although below levels we've seen in the last year, up compared to last quarter. This increase is explained by postponement of some investments to Q4 from Q3. For 2023, as a whole, CapEx intensity overall remains below the previously indicated levels of around 3%. During Q3 -- sorry, during Q4, we increased our cash balance by $62 million and ended with a cash of $291 million. Operating cash outflow of $16 million, adjusted for capitalized items, mainly driven by loss in the period. Net working capital in percent of revenue increased to 41%, so on the high side and is a result of higher working capital and lower revenue. The increase in working capital is partly explained by higher inventory. Nordic no longer sees any supply constraints given the current demand and supply outlook. Nordic has made a strategic decision to increase inventory to support future growth ambitions. We also completed a successful NOK1 billion bond issue with an outstanding balance of $97.5 million with net proceeds of $93 million. In addition to strengthen our balance sheet, we have an undrawn credit facility, which we in Q4 have increased from $150 million to $200 million. This is unused as of today. With that, I'd like to introduce our new CEO, Vegard Wollan, who joined us at the start of the year. Vegard brings a wealth of experience from the semiconductor industry over the last 30 years and is actually returning to the roots as he started his career in Nordic VLSI, which later became Nordic Semiconductor. Before leaving the mic to Vegard, I would also like to thank CEO, previous CEO, Svenn-Tore Larsen, for his highly valuable contribution to the company over more than two decades. So, on behalf of the Board of Directors, the management team and the more than 14 [ph] employees of Nordic, we'd like to thank Svenn-Tore. So, welcome, Vegard. The stage is yours.
Vegard Wollan: Thank you. Thank you, Pal. First of all, let me join Pal in thanking Svenn-Tore for his great leadership. I have the honor to take over the position as CEO and I know Svenn-Tore since the 90s and I know how hard he has worked to build Nordic to the company it is today over all these years. I took over on January 1st and I've spent my time investigating and learning about Nordic and the organization and I'll share some insight here. But first, I want to say that it was great to kick off with the CES earlier in the year, the Consumer Electronics Show in Las Vegas, which was during the second week of January. We had a series of innovative demonstrations at the Nordic booth. And as you see on the slide, it was a very busy week when the Nordic team took well over 100 customer and partner meetings altogether. For me, CES became particularly efficient as an event since I got to meet and talk with many of Nordic's customers and partners. It's always interesting and helpful to get directly engage with our customers in an early stage to discuss their plans, new designs and also look into how we further can grow the business together. Summing up, my first impression of Nordic from the inside is very encouraging to me. We have world-class engineers, great employees and a great culture. We also have innovative and leading products and solutions. Although we, as always, have the potential for improved execution. We have an impressive customer base and have established very strong partner relationships with our Tier 1 customers. Now, we also need to regain traction in the broad market. My focus and the focus of the management and the employees is returning to growth and to restore profitability. An overarching key element will be how we prioritize our projects, resources for the short and for the long-term. Another element that we are working is that we need to create and execute on the right product roadmaps. This is important for me to explain, so bear with me and I'll spend a few minutes on this slide. For a semiconductor company, a couple of things are extremely important and maybe more so than anything else. Having the best and winning products in the market is one and delivering on engineering, execution and development is another. These are of the most critical matters for us as a company and I would say for any semiconductor company given that the development cycle is relatively long within semiconductors. Thus, I'm spending a lot of time these days to dig into our current products, our product strategies, our development pipeline, as well as our engineering resources, and our engineering development and execution. Making the right investments in our short and long-term product roadmaps are of the most important decisions we make as well as executing well on the products we have in the pipeline. So, I have a lot of product -- focus on products, roadmaps, engineering altogether with the teams at the moment. I would say on a very first note, I do want to comment that on a high level, I believe that the products and market segments we participate in are the right ones for Nordic. Historical timelines and size of investments could always possibly be discussed in the hindsight, but overall, we are in a strong position. We are a global leader in short-range wireless connectivity, we have extremely solid customers, and Nordic has some really, really great products in the pipeline. On this page, I've illustrated that with the nRF54 Series products we announced last year. We believe that these products will drive the next level of performance to the wireless connectivity and IoT markets. And we are really excited about our first customer feedback on these products and the track we have to realize need to [ph] revenue on the 54 Series SoCs towards the end of this year. We are also moving forward within other product segments and technologies. The long-range and cellular IoT products are very complex products to successfully launch to the market. Nordic now has a very robust and high-quality total solution for this technology. And when I say total solution, I mean the total customer designing and development experience with the chipset integrated in our system in a package module, with the software-enabling features and functionality and the high-quality development kits and tools and finally, enabling the cloud infrastructure. All of this, for me, clearly, is a market-leading offering from Nordic at the moment. And I've already met with many customers in the long-range space and it's good to see that this is increasingly being appreciated as a great value for our customers. The early and more emerging product lines of power management IC, so the PMIC, the Wi-Fi products, and our front-end modules are also gaining traction as adjacent product segments to our current core wireless connectivity business and with clear synergies to both the short-range and long-range wireless connectivity products and businesses. So, in summing up, I'm very focused on our product and product strategies, development pipeline and on efficient deployment of our engineering resource going forward. Although, we remain confident in our medium to long-term market potential for our products and technologies, we are in a cyclical downturn with macro headwinds. And the lower revenue we expect in Q1 reflects both of this as well as continued inventory adjustment and the fact that we are back to more normal seasonal effects. Total revenue is expected in the range of $70 million to $80 million for the first quarter, which is around 50% below the first quarter last year. Gross margin is expected at around 50%. To conclude, I would also like to add a few comments on our reporting philosophy going forward. With the lessons learned over the last year, we'll only be guiding for the current quarter. We will also limit comments that possibly can be traced back to individual customers and create unnecessary speculation on their behalf, particularly on financial and business-related information. We have great respect for our customers and the partnerships we have created over a long time. And finally, although we wish to remain open and transparent, we may be limiting certain other information that we see could create disadvantages for Nordic in the competitive landscape. With that, I would like to thank you all for participating this morning and I'll hand over to Stale to start the Q&A session.
Stale Ytterdal: Thank you, Vegard. We will soon open up for Q&A. To accommodate as many as possible before the market opens, I recommend that everyone only ask 1 question with 1 follow-up question. As we mentioned in the earnings call invitation, the company has discontinued the chat Q&A function from the webcast, and we will, from now on, only be accepting questions asked live through the Q&A dial-in function. For the dial-in details, again, please look at the earning call invite, which we can -- you can find under our IR site stock exchange notice. I will now hand over to Patrick, our operator, to open up for the Q&A.
Operator: Thank you, Stale. We'll now start the question-and-answer session. [Operator Instructions] The first question will be from the line of Harry Blaiklock from UBS. Please go ahead, your line will now be unmuted.
Harry Blaiklock: Good morning. Thanks for taking my question. I was wondering, I know you're not providing any kind of solid guidance beyond Q1, the current quarter, but it will be useful to understand whether you have any visibility around whether the current quarter is likely to be the bottom of this downturn. So, any color you can give there would be useful.
Vegard Wollan: The current cyclical downturn has been more severe and more prolonged than Nordic has anticipated. The visibility continues to be low. We do see continued inventory adjustments, some happening in Q4. It's continuing into Q1. And as I mentioned, we are back to a more normalized seasonality in the market. So, as we don't provide any guidance beyond Q1, we don't share our views on a potential market turnaround. We are, though, confident in the medium to long-term that our products and technologies will have growth opportunities.
Harry Blaiklock: Got it. Thank you. And then just one quick question on pricing. It looked like gross margin held out well, which I guess [Indiscernible] relatively stable and resilient as well. I know at some point last year, you mentioned that you've seen some pricing pressure in the low-end of Bluetooth, which [Indiscernible] yet to your product segment? I was wondering whether you could give any color on where you [Indiscernible] and how you see that going forward throughout this year?
Vegard Wollan: Maybe let me share some view on that. I do actually see that Nordic has such a great overall and total solution on its product in the market segment, which is really being appreciated as a complete and total solution for our customers, engineers. There is always some price pressure coming with the tougher market environments. But as you see, our margins are also holding up reasonably well.
Harry Blaiklock: Got it. Thank you very much.
Operator: Thank you, Harry. The next question will be from the line of Sebastien Sztabowicz from Kepler Cheuvreux. Please go ahead, your line now will be unmuted.
Sebastien Sztabowicz: Yes, hello everyone and thank you for taking my questions. On inventory, could you help us understand a bit where you are standing right now in terms of inventories at your distributors? And also, if you have any view on the level of inventories into your end-markets? And attached to that, should we expect that the inventory correction could be completed in the first quarter? And the second question is on the broad market where you are losing some traction. How do you expect to regain market share in the broad market? Do you have any specific action in mind or something that could accelerate to come back? Thank you.
Pal Elstad: Okay, I'll start on the inventory question. So, during the fourth quarter, distribution inventories of Nordic components has definitely decreased. But given the situation, we also expect distributors to further reduce the levels of inventories during Q1. In relation to end customer inventory, it's really a mixed bag. Some have more than they need and others are actually -- we're actually seeing that they're in balance. So, it really depends on the customer and it's very difficult to give sort of an overall view. But it's both ups and downs on this level. On the distribution inventory, of course, going into a seasonal, it will be also low quarter. And with low visibility, the distributors have an incentive to reduce the inventories. You'll take the second one.
Vegard Wollan: Yes. On the question on the broad market, we clearly have a lot of focus at the moment on the broad market. We believe we can and will be a strong player both with our current Tier 1 focus in the broad market. We need to regain traction there. And our ambition is to maintain our position, as I said, as a leader play in both the Tier 1 in broad market with our leading technology because really the technology and the leadership and the innovation we do gives us opportunities and should be successful in both. So, yes, we have a great offering, total offering, as I've been alluding to a couple of times with the tools, the development kits, our support and the software we provide alongside our products to enable features and functionality. And as you saw on the design win slide, we are actually throughout 2023, taking and winning market share. If you use that as account of Bluetooth-registered designs. So, we are working a lot to gain traction back in the broad market. And we also believe that there has been some tougher impacts there during the two three last years.
Operator: The next question will be from the line of Nigel van Putten from Morgan Stanley. Please go ahead, your line now will be unmuted.
Nigel van Putten: Hi good morning. Could you maybe elaborate on the commentary you had in your prepared remarks on the clear synergies between short-range and long-range? You can see how Bluetooth, Wi-Fi and PMIC are complementary, but can you expand on where the synergies lie between these two businesses in general, sort of short versus long?
Vegard Wollan: Yes. Many, many synergies. Everything from the radio front and the wireless design in the developments after all being not completely different. There are a lot of similarities, obviously, in what we do there. We also see to some degree that some of these products are now utilizing more. So, the -- all of our wireless technologies combined as products we are recently launching which also has -- have Wi-Fi-enabled location services and an additional functionality combined with the long-range technology. So, absolutely, very clear synergies that these products are being used with a multitude of the wireless connectivity simultaneously in the modules and the end products they are designed into.
Nigel van Putten: Understood. And then as a follow-up also on cellular IoT, in the past couple of quarters, there was a hint of upcoming major projects coming to market. Can you provide an update on progress?
Vegard Wollan: Yes. As I did comment during my prepared remarks, we do not any longer want to comment on specific projects. We understand that these products have -- and customers have been commented on previously. And these are absolutely still ongoing, but we don't want to comment more specifically on the timing of these. But absolutely, still ongoing and active programs.
Nigel van Putten: Understood. Thank you.
Operator: Thank you, Nigel. The next question will be from the line of Olivia Honychurch from Jefferies. Please go ahead, your line now will be unmuted.
Olivia Honychurch: Morning. Thank you for taking my question. Just wanted to follow-up on the consumer part of your portfolio. So, we had one of your US-based competitor last week saying that they're seeing a stabilization in consumer IT. I think specifically, they commented on inventories but they're seeing starting to bottom out. I'm just wondering if you can comment on why they might be seeing different trends from you given that you've implied that inventory corrections for Nordic products are continuing to do work through? And in general, just any more color that you can give us on the consumer side of your portfolio? thank you.
Pal Elstad: Yes. So, I can start. So, on the consumer, I showed the slide with the top 10 customers that are pretty stable. And then you're actually correct, and I also mentioned that the inventory levels are mixed. So, definitely, the top 10 customers are doing okay in the market, right? What we're still saying is that the visibility in the broad market, which is still 40%-something of our consumer market specifically is, the visibility is low, both on demand and on inventory levels.
Vegard Wollan: Yes, I think on the second question, I'm sorry to say, we will not comment specifically on specific customers' financial projections, businesses of their, neither do we do what other semiconductor companies are commenting on.
Olivia Honychurch: Okay. Thanks a lot.
Operator: Thank you, Olivia. [Operator Instructions] The next question will be from the line of Christoffer from BNP [ph]. Please go ahead, your line now will be unmuted.
Christoffer Bjørnsen: Yes, good morning. Christoffer from DNB Markets. So, I was wondering if you like double click on your comment, Vegard on the seasonality. To be just clear, you are saying that you're expecting seasonality to be more normalized from Q1 to Q2 and onwards?
Vegard Wollan: Yes, without being specific on that, Christoffer, I think it's clear that with a more balanced market between demand and supply, we do have to expect that we are now seeing a much more normalized market and back to normalized seasonality.
Christoffer Bjørnsen: Because you're seeing basically what you're selling into the business and then you compare that to what they're selling out right. So, any comment on that?
Pal Elstad: Yes, I think you can say that because remember, even last year, we probably were back to seasonality, but there was overhang of orders from when there was a supply constraint. So, I think we're now back to the situation we were 2020 and earlier when we always saw a seasonality without guiding for the next periods, it's what we see.
Christoffer Bjørnsen: Yes. And then final one for me as my follow-up, do you have actually seen some decent reporting from some of your end customers? Does that mean that it's kind of -- you won't comment on specific customers, but is it fair to assume that market share loss is partially one of the drivers of the steep decline year-over-year and the lower than seasonal Q1 that you're guiding for now?
Pal Elstad: No, without -- I wouldn't say that. We're not really commenting on the customers and verticals where the decline is. So, we really not have a comment to that question.
Vegard Wollan: I think -- and just to add to that also, Christoffer, we do see as both distributors and end customers are adjusting their inventories, you may get quarter-to-quarter effects both on individual customers and in the distribution channel because of that.
Christoffer Bjørnsen: Okay. Thank you.
Operator: The next question will be from the line of Markus Heiberg from SEB. Please go ahead, your line now will be unmuted.
Markus Heiberg: Thank you for taking my question. So, taking more into the segments here because I think healthcare has been a segment that's been holding up quite well over the previous quarters. But this quarter, it seems to come down a bit. Is this just normal lumpiness? Or do we expect sort of a lower run rate in this segment as well?
Pal Elstad: No. As I said earlier, we have highlighted that the healthcare market is the future growth engine and we still believe it is. But revenue is still dependent on a relatively small number of customers and hence prone to lumpiness between quarters definitely.
Markus Heiberg: So, on a follow-up on that. So, you cannot share any comments on Q1, if that's a segment where you're seeing big deviations?
Pal Elstad: No, no, we don't detail the Q1 numbers, just the total number.
Markus Heiberg: Okay. Thank you.
Operator: Thank you, Markus. As no one else has lined up for questions, I'll hand it back to Stale for any closing remarks.
Stale Ytterdal: Thank you, Patrick. Then we are concluding our Q&A session for today. Thank you for your participation.
Pal Elstad: Thank you.
Vegard Wollan: Thank you.